Steve Hare: Good morning, and welcome to Sage's Full Year Results. I'm delighted to be joined by Jonathan Howell, our CFO. I'm going to start with an overview of our key messages for today. Sage delivered a strong FY'23 performance driven by consistent execution. We achieved double-digit revenue growth, expanded our underlying operating margin and significantly increased free cash flow. Our performance was based on strong sustained momentum, underpinned by broad growth drivers across the group. Sage Business Cloud continues to deliver significant growth across all of our regions. And importantly, this growth remains well balanced between new and existing customers, and it's supported by the resilience of our business model as small and midsized businesses continue to adopt digital technology to become more productive and efficient. And our growth is led by ongoing investment in innovation, driven by our deep knowledge and experience of serving SMBs. We're enhancing our cloud solutions and making them available to more customers in more regions. We're leveraging the breadth of our offering, integrating products across accounting, HR and payroll to provide a seamless customer experience. And through the Sage Network, we're developing new digital and AI-powered services and efficiently deploying them across our portfolio, transforming workflows for SMBs. And finally, we are executing consistently with continued progress against our strategic priorities. Having invested significantly in recent years, we're now focused on efficiently scaling the group, and this is driving strong top and bottom line growth. By transforming Sage into a more globally integrated business, we are building a scalable platform for sustainable growth. And I'm confident that as a result, Sage is well positioned for the considerable market opportunities that lie ahead. Now I'll talk more about our progress later in the presentation. But for now, I'm going to hand over to Jonathan for the financial review.
Jonathan Howell: Thanks, Steve, and good morning, everyone. I'm pleased to share with you today our full year results and also the outlook for the year ahead. As Steve mentioned, it's been another year of strong progress as we continue to execute in line with our plans. Starting with the highlights. Firstly, we delivered recurring revenue growth of 12% driven by continued strength across Sage Business Cloud, which grew by 25%. Secondly, operating margin was 20.9%, an expansion of 140 basis points as we continue to efficiently scale the business. And finally, our cash conversion was strong at 116% driven by growth in subscription revenue and good working capital management. Turning to our key growth drivers. ARR growth of 11% was well balanced between new and existing customers, and we added GBP225 million of ARR, which now stands at almost GBP2.2 billion. Cloud native ARR grew at 28% driven largely by new customers with a continued strong performance from Sage Intacct. And renewal rate by value was 102%, up from last year, and this reflects increased sales to existing customers and good retention rates. So turning to the P&L. We achieved double-digit total revenue growth of 10%, driven by recurring growth of 12%. Operating profits grew by 18% to GBP456 million. And on an organic basis, which adjusts for the impact of M&A, it increased by 22%. All this has led to growth in underlying EPS of 22% to 32.3p. We've increased the final dividend to 12.75p. This takes the full year dividend to 19.3p, which is up 5%. Looking now at the revenue bridge. Our growth continues to be driven by Sage Business Cloud, which delivered recurring revenue growth of almost GBP330 million. And this was supported by continued migrations, especially in cloud connected, where the pace of product migration remains strong. This reflects the growing demand from SMBs for digital solutions to automate their workflows and drive productivity. Software subscription revenues grew by 17% during the year to over GBP1.7 billion. As a result, subscription penetration continued to increase and now stands at 79%. Recurring revenue now represents 96% of our total and this underlines the high-quality and resilience of our business. Now moving to the portfolio view. The future Sage Business Cloud opportunity performed strongly with recurring revenue growth of 12% to more than GBP1.9 billion. Growth of 34% in cloud native was driven by Sage Intacct together with other solutions, including Sage Accounting, Sage Payroll and Sage HR. And cloud connected increased by 21% to over GBP1 billion, reflecting growth across the Sage 50 and Sage 200 franchises together with continued migrations. Recurring revenue in non-Sage Business Cloud grew by 4%, in line with our expectations. The result is growth in Sage Business Cloud penetration to 84%, with more customers now able to connect to the Sage Network. Moving now to our regional performance. In North America, we delivered recurring revenue growth of 16%, driven by the Medium segment. Sage Intacct continued to grow strongly, reflecting further success in the NCA together with strong sales to existing customers. Performance in the region was supported by growth in our Sage 200 and Sage 50 franchises. As a result, Sage Business Cloud penetration increased to 86% up from 79% last year. In the UKIA region, recurring revenue grew by 10%. Growth in the UK and Ireland was 9%. Cloud native growth was driven by small business solutions, together with Sage Intacct, which is scaling rapidly. This was supported by further growth in Sage 50. In Africa and APAC, growth of 13% was driven by Sage Accounting and Sage Payroll. The result of all this is Sage Business Cloud penetration of 90%, up from 79% last year. And in Europe, recurring revenue growth was 7%, which includes the disposal impact of Sage Switzerland. In France and Iberia, growth was driven by a strong performance in cloud connected solutions, supported by growth in cloud native. And in Central Europe, growth was 7% with a strong performance in Sage HR, and this has resulted in Sage Business Cloud penetration of 73%, up from 64% last year. As we've said previously, our focus is on efficiently scaling the group. As we grow the top line, operating leverage means we can invest more and expand the margin. This, in turn, leads to sustainable growth. Overall, this has resulted in a margin of 20.9%, an increase of 140 basis points from last year. Investment in sales and marketing stands at 40% of recurring revenue, down from 42% last year as we continue to drive efficiencies in our sales motion as investment in R&D at 16% remains a key priority for the group. G&A is now running at just below 10% of recurring revenue, demonstrating our disciplined approach to cost. Turning to the cash flow. Cash generation remains a core strength of Sage. During the year, the group generated GBP528 million of cash from underlying operations, resulting in continued strong cash conversion of 116%. And free cash flow was GBP404 million net of interest and tax and that's up 37% on the prior year. The group has a strong balance sheet with GBP1.3 billion of cash and available liquidity and a leverage ratio of 1. In February, we issued GBP500 million of euro notes. This has extended our debt maturity profile and diversified our funding sources. And in line with our disciplined capital approach, this morning, we announced a share buyback program of up to GBP350 million. This reflects our confidence in Sage's future prospects together with our strong cash generation and robust financial position. And importantly, we retain significant capacity to support both organic and inorganic growth. So what does that mean for the outlook? We retain good momentum as we enter the new financial year driven by consistent execution. Therefore, we expect organic total revenue growth in FY'24 to be broadly in line with last year. And we expect operating margins to trend upwards in FY'24 and beyond as we focus on efficiently scaling the group. Thank you. And now back to Steve.
Steve Hare: Thanks, Jonathan. The foundation for our strong performance is our strategic framework for growth. More than ever, Sage exists to knock down barriers so that everyone can thrive, starting with our customers, small and midsized businesses. Our ambition is to be the trusted network for SMBs, and the Sage Network is enabling us to achieve this. And we drive growth through our five strategic priorities, which I'm going to talk about shortly, as we continue to do the right thing for our stakeholders in line with our values. But I'm going to start by reflecting on our achievements over the last five years and the consistent strong progress that we've made. We focused on the needs of SMBs, bringing them the benefits of the cloud and increasing Sage Business Cloud penetration to 84%. This has helped drive scale, with ARR accelerating to GBP2.2 billion. We've also ramped up our investment in R&D, up 60% over the last five years, as we continue to innovate and enhance the value that we bring to our customers. And finally, this is reflected in the high levels of growth across our cloud solutions, including cloud native ARR, which is now approaching GBP700 million and represents almost 40% of Sage Business Cloud. In short, we've substantially repositioned the group. And having invested to create momentum, we're now focused on scaling, delivering durable top line growth with an expanding margin. So let's turn to what we're currently seeing among our customers, small and midsized businesses who are vital to the global economy, representing 98% of all businesses in our key markets and accounting for two-thirds of private sector jobs. They're typically resilient, dynamic and agile and experience shows that the number of SMBs consistently grows over time. We recently surveyed more than 15,000 SMBs across the EU. And they told us that faced with economic headwinds, they're investing more in digital technology to help alleviate pain points such as cash flow and late payment issues. And they're excited about the potential for AI to drive innovation and efficiency. Entrepreneurs and finance professionals alike want technology that makes their life simpler, automates repetitive tasks and saves them time and money. So for example, Pizza Pilgrims in the UK told us that switching to Sage Intacct has reduced the time it takes to update their board packs from half a day to five minutes whilst increasing quality and accuracy. Now I've spoken to numerous customers, accountants and partners this year, and they've all told me similar stories. The Sage Network is our platform of products and services that benefits customers by connecting business ecosystems and by digitally transforming workflows. It's also our platform for innovation and has enabled us to embed AI into key tasks such as bank reconciliations, invoice processing, error detection and carbon accounting. All of these services become more accurate as they learn from customer behavior over time. We're particularly excited about the possibilities of generative AI and the significant real-world benefits that it can deliver to SMBs. For our customers, this means automating entire complex workflows, letting software handle routine conversations with third parties and using technology in a different way to gain powerful insights and human-like assistance. These capabilities will deliver a step change in productivity. And whilst it's early days, we're starting to make these possibilities a reality through recently launched products like Sage Network Inbox and accounts payable automation. And through Sage Copilot, our digital assistant, which is now in internal testing. All this is enabled by the Sage Network, which today powers over 7,000 learning models and has already mapped over 50 million supplier relationships, helping our customers to be more productive. Importantly, the network enables us to build services once and then deploy them to customers of solutions across Sage Business Cloud. This accelerates our development cycle. And we're doing this in line with our values, promoting confidence and trust with accurate proprietary models underpinned by clear data and AI ethics principles. So let's turn to our strategic priorities, starting with scaling Sage Intacct. Our focus here is on continually enhancing the solution as well as making it available to more customers by extending its reach into new verticals and geographies. And as a result, Sage Intacct grew ARR by a record GBP100 million in FY'23. And in the US, Sage Intacct ARR grew by almost 30% with particular strength in not-for-profit and construction. Outside the US, growth was more than 80% to over GBP30 million with traction continuing to build in recently launched markets, including the UK, Canada and South Africa. Now during the year, we also introduced Sage Intacct to Continental Europe, successfully launching into France and with Germany to follow in the coming months. And we're getting some great reviews from customers and partners in these new markets. Parthena Consultant, a French partner, told us they consider Sage Intacct to be the best finance solution not only for SMBs in general but also for their own business. And they're not the only ones. I've spoken to all of our top French partners, and there is a renewed energy about the opportunities that we see together. And finally, in partnership with PwC, we've introduced a new managed service program, enabling accountants to offer finance and advisory services to midsized clients via Sage Intacct. Our next priority involves broadening our value proposition for midsized businesses. Now here, we're leveraging our capabilities beyond core financials to provide more services in adjacent areas including payroll, HR, planning and analytics, deepening our customer relationships and increasing the value that we provide. Last month, we expanded Sage Intacct Payroll into Canada, enabling more SMBs to streamline their payroll processes. And earlier in the year, we launched an integration between Sage Intacct, Sage Payroll and Sage HR in South Africa and Canada, creating a seamless experience for customers across all three products. And to help more businesses with effective budgeting, we've expanded Sage Intacct Planning beyond the US and into more markets across the group. And we've done the same with Sage Intelligent Time. Our AI-powered time tracking tool, which helps professional services businesses more accurately track billable hours. Our third priority is to develop a powerful engine to acquire and serve small business customers. We're seeing continued growth from our small business solutions, including Sage Accounting and Sage 50. And alongside our e-commerce sales, we're also focused on supporting and serving accountants on whom small businesses depend for bookkeeping, compliance and advice. In just two years since launch, Sage for Accountants has been adopted by almost 8,000 practices in the UK, helping accountants manage their entire practice workflow and unlock more profitable client relationships. The solution now integrates with Sage Accounting and Sage 50 as well as third-party products. And extending its reach beyond the UK, we've also launched in Canada. In Europe, we've introduced Sage Active, our new multi-legislation business management solution, now launched in France, Spain and Germany. On to scaling the Sage Network through which we provide connected services that transform the workflows of SMBs. As Jonathan said, with Sage Business Cloud penetration up by nine percentage points, more customers can now connect to and consume services via the network. And the rapid expansion of our end-to-end accounts payable automation service is a good example of how we're driving up network participation. We launched this service earlier in the year, bringing new capabilities to Sage Intacct, Sage 50, Sage Accounting and AutoEntry. And in Q4, we processed almost 0.5 million invoices, and that's more than double the number from six months earlier. And customers have reported significant efficiencies, doubling and, in some cases, tripling productivity in their accounts payable teams. And finally, as an open platform, the network is also scaling through growth from third-party software vendors as part of our broad ecosystem. This generates incremental consumption-based revenue for Sage whilst also expanding and enriching the customer experience. Our last priority is to learn and disrupt. This priority is about being at the cutting edge of innovation in the industry, finding new ways to serve customers better and developing deep partnerships to support us. Now as I said earlier, the Sage Network is our platform for innovation, and we're using it to put powerful new tools in the hands of SMBs. For example, we recently launched Sage Network Inbox, a connected accounting inbox, which provides natural language e-mail responses to queries received by accounting teams. And the early feedback is very promising, as you can see from the slide. We're also testing Sage Copilot, which uses natural language to provide smart analytics and serve as an intelligent companion in decision-making. We'll say more about this early next year. And finally, we've ramped up our collaboration with both Microsoft and AWS, launching solutions on both the Azure and AWS platforms and integrating complementary technology. So now let's turn to our stakeholders. Our support for customers goes beyond the technology we build. We also support them with customer service provided by humans. We offer advice on key business issues, for example, through our trust and security hub, business advice hub and member master classes. And we show up for SMBs championing their interests with policymakers across our markets, for example, through the UK Prime Minister's Business Council, where I've consistently lobbied for incentives for small businesses to invest in technology. I've also engaged with numerous shadow cabinet ministers as we've promoted our blueprint for digital-led growth. For colleagues, we target an inclusive, accountable and, above all, a high-performing culture. We invest in providing the resources and opportunities to enable colleagues to thrive, focusing on their well-being and continued development. And we're building a diverse workforce that fully represents the world in which we work. We have ambitious targets in this area. And as we progress, it's good to see that in July, we were listed amongst top 50 UK employers for gender diversity by The Times. And last month, we were recognized by Forbes as being among the world's top companies for women. On to society, where we take pride in making a difference and aim to multiply our impact by supporting sustainability in SMBs across our markets. During the year, we made progress in delivering on our climate strategy, creating a detailed road map to support our science-based targets to reduce emissions. And we've also joined forces with NatWest to develop NatWest Carbon Planner, built using Sage Earth and available to all UK businesses to help reduce their carbon footprints. And together with our charity partners like Ashoka, Kiva and the BOSS Network, we've helped more than 10,000 underserved entrepreneurs to grow their businesses. And for shareholders, our overriding objective is to create sustainable growth in shareholder value. Our model to achieve this is to grow revenue and to do so more efficiently over time. Firstly, our strategic framework is delivering growth in all our regions. We're rolling out global cloud solutions across our markets led by Sage Intacct, and we're adding value to customers by enhancing our products and broadening the proposition we offer them. And we're scaling and leveraging the Sage Network to deliver innovative AI solutions, delivering real-world productivity to SMBs. Second, Sage is differentiated by our leading technology, the breadth of our business and our human touch. We have deep expertise across financials, payroll and HR, serving a wide range of small and midsized businesses across diverse geographies. We're supported by a broad ecosystem of partners, accountants, resellers and ISVs who enrich and expand the reach of our offering. And we combine our solutions with a human touch, providing business advice and expertise backed by human customer support. And finally, as we grow the business in absolute terms, this creates headroom, both to increase investment and to expand margins. So in conclusion, Sage has had a very good FY'23. We've made strong strategic progress, sustaining our momentum throughout the year. We're investing in innovation to lead our growth in the future as we help our customers to become more productive and efficient. And we're executing well with consistent progress against our strategy, leaving us well positioned for continued delivery in FY'24 and beyond. So that concludes today's presentation. Thank you very much for watching. And Jonathan and I would now be happy to take your questions.
Operator: [Operator Instructions] We will now take the first question from the line of Toby Ogg from JPMorgan. Please go ahead.
Toby Ogg: Yeah, hey, good morning. Thanks for the questions and congratulations on the results. Maybe just on the renewal rate by value. Actually, I just wanted to touch on that. That obviously nudged up to 102% for the full year, 101% at the first half. Could you give us a sense for the breakdown of that sort of upward trajectory that we're seeing there on the renewal rate by value between churn and upsell, cross-sell? And then specifically, within that, could you also help us understand what is the mix effect there from Intacct with a higher NRR becoming larger versus sort of the remaining business and the kind of relevant cross-sell and upsell dynamics on that side? And then just secondly, on the rollout of Intacct internationally. It sounds like you're making good progress there. Obviously, Intacct ARR up 80% outside of the US in 2023. What are the key milestones that you're thinking about on that rollout trajectory over the next 12 months that we should be keeping an eye out for? Thank you.
Jonathan Howell: Yes. Look, thank you, Toby. It's Jonathan here. First of all, in terms of the renewal rate by value, it's pretty consistent really with what we've seen over the last couple of years, but as you know, it's a slight improvement. First of all, churn remains at low levels and is still very stable. And we're still back operating at levels of churn below that we were seeing pre-COVID. So that's very encouraging, and it's a stable outlook there. In terms of cross-sell and upsell, very strong again. And that's really being enabled by enhancements to the Sage Network that we're constantly rolling out over recent years. And then lastly, price increases that you referenced. We put through across the portfolio in FY'23 on average 4.5% of price increases. That's consistent with what we did the previous year. And again, the outlook for price increases as we move into FY'24 is pretty consistent. And then in terms of mix, yes, we have a materially higher renewal rate by value coming out of Intacct. But still, if you've got an ARR base of GBP2 billion, this has got to be a performance across the whole portfolio. And so that's been very encouraging for us.
Steve Hare: And on the Intacct rollout, key milestones, we're live in France. So really now, it's about the rate of adoption in France. And then in the next few months, we'll be going live in Germany. So that launch in Germany, getting the partners as well as our own sales team up to speed so that again we can start to drive the adoption in Germany. So obviously, we'll give you updates at the half year and the full year. But so, yes, we're excited about the prospects of having Intacct in Europe. And I think over the coming years, we'll see a lot of opportunities for what is clearly the strongest product in its segment for medium-sized businesses' financials.
Toby Ogg: That's great. Thank you.
Operator: Thank you. We will now take the next question from the line of James Goodman from Barclays. Please go ahead.
James Goodman: Good morning. Thank you very much. My first one is just around NCA. I think you disclosed GBP190 million for the six months, sorry, for the last 12 months, which was the same as it was six months ago. I mean, clearly, to carry on growing the business at the same rate, you need to also grow NCA. So just wondering if you could decompose that in any way. And should we anticipate a reacceleration there in terms of the magnitude of NCA growth? And then second question really is just around the guidance that you've given today, which I think makes sense and is consistent with how you've been guiding, although we've got to switch towards total revenue growth. I mean really just any additional color you can give around that in terms of when you say broadly in line, do you mean approximately in line? Or are you talking there about any sort of nuance on the revenue growth? And on the margin side, we had 2.2 points organically this year. Consensus has got a lot less for FY'24. What's your feeling in terms of the sustainable rate of margin you can deliver? Thank you.
Jonathan Howell: Yes. So if I start on the guidance. First of all, total revenue, as you can see, is the number that we're guiding to. We've announced this morning a change in our sort of reporting going forward into FY'24, where our principal measure will be total revenue to simplify our reporting and really to sort of aid people's understanding of our progress. And the simple reason for that is we now have recurring revenue at 96% of our total, and therefore, the growth rates of total revenue and recurring revenue converged. In terms of guidance, it's pretty clear. We're exiting FY'23 with an ARR growth rate of 11%. We're guiding, as you say, to be broadly in line with last year on total revenue, which is 10%. And so therefore, that gives you a very clear, I think, and consistent view of the performance that we're guiding to for the full year in FY'24. I think one last thing to help you on that is analyst consensus at the moment for FY'24 is for the growth rate of recurring revenue to be about 90 to 100 basis points higher than total revenue. And that's a sensible place for consensus to be at this stage in the year. In terms of margin, you can see that we have reported a margin on an underlying basis of 20.9%. That is an increase of 140 basis points on a constant currency basis, which is probably the best measure to look at us. And therefore, we're guiding to further margin expansion, and that will be for the third successive year. And the basis of that guidance is to indicate that this trend that we've seen over the last two years or so is continuing. And again, to help you on that, at this stage in the year, our estimation is probably about a 50 to 100 basis points improvement within that guidance. As we sit here today, I think analyst consensus is about 60 basis points, and that seems a sensible position for us to be. And then lastly, in terms of NCA. Yes, strong NCA continuing at GBP190 million for the year, slightly up on the prior period. We are seeing a good performance across all of our cloud native and cloud connected products. That is an important component of our growth. But don't forget and sit alongside that and that goes back to the question that Toby asked, was we do have to put a renewal rate by value. And that is up at 102%. That's a strong performance. You take both of those together, and this is important for us, we're getting well balanced good growth across both new and existing customers. And so therefore, as a result, that underpins the confidence that we have in the guidance that we've given for FY'24. Thank you, James.
James Goodman: Thank you very much. Thanks.
Operator: Thank you. We will now take the next question from the line of Adam Wood from Morgan Stanley. Please go ahead.
Adam Wood: Hi. Good morning. Thanks for taking the question. Congratulations from me on the strong execution this year as well. Maybe just first of all, we saw ARR and on the recurring growth a little bit of a slowdown in the second half. You're obviously guiding in '24 for consistent growth and no further slowdown. Could you just talk a little bit about what gives you the confidence in that? Maybe it's around the phasing of ARR, where the base comps were in the second half of '23. So that would be just the first one to help on that visibility. And then maybe secondly, you've talked about the AI being inserted into the product. So I think there's a little bit of a debate around software companies as to whether you can charge for these, as Microsoft is doing with Copilot, or whether this just becomes kind of table stakes that other vendors will do the same and you need to serve this in. What's your view on being able to getting pricing on the products where you're inserting AI into them, please? Thank you.
Jonathan Howell: Yes, Adam. Look, good question on the development of growth during the last 12 months or so. First of all, in terms of recurring revenue, we have just reported in FY'23 recurring revenue growth of 12%. That was 12% in the first half, and just on a rounded basis, 11% in the second half. And that's really being driven by the sharp acceleration in growth that we had in Q3 and Q4 of the prior year, which meant that we've been running into some very strong comparators as we moved into the second half of our year. The progression of our revenue growth during the year has been actually quite even and quite consistent. And I think just to sort of draw that out, if we look at ARR sequential growth during the year, we had 2% in Q1, 3% in Q2, 3% again in Q3 and then, lastly, 3% in Q4. So a very consistent development of ARR growth for us during the year. And therefore, that slight slowdown was really driven by the tough comps. I have to say that we were pleased by the close to this year, in Q4, in particular.
Steve Hare: And then on AI, I think the way to think about AI is really split it into two. We have AI that's embedded within the product, which we've really had for a number of years. And in many cases, that what the AI is doing in the product is not particularly visible to the customer. It's just helping the way the product delivers outcomes, making that more efficient. But what's really changing now with the advent of generative AI is creating the ability to deliver this more proactive, a system-like functionality. As we said in the presentation, we are in testing with Sage Copilot, and we'll say more about that in the New Year. But it is our intention that whilst take-up of that is a long-term thing, it is our intention that, that is a premium service.
Adam Wood: That's very helpful. Thank you.
Operator: Thank you. We will now take the next question from the line of Charles Brennan from Jefferies. Please go ahead.
Charles Brennan: Hi. Good morning. Thanks for taking my questions. I think the good news for a lot of people today is just on the share buyback and the cash flow in the period. I haven't yet done the numbers, but it feels like that still leaves you with GBP500 million or so of headroom against the higher end of your leverage target. Can you just update us on where you are with potential M&A versus organic R&D development at the moment and whether we should assume that GBP500 million spent over the coming months? And then secondly just as a detailed modeling question, it looks like there's about GBP40 million of exceptionals during the year. Can you just give us some guidance on what you expect that number to be for '24? Thanks.
Steve Hare: Yes. So I'll just start on the capital allocation. I mean nothing's changed. We continue to look at acquisitions. And as appropriate as we see the right acquisitions, we'll continue to invest in that. But this year has been a lighter year in terms of deploying cash into acquisitions. So I think entirely appropriate and in line with our capital allocation policy, we're doing a share buyback and I think also shows our confidence in terms of the future prospects of the business. I think as far as exceptionals and how they're going to develop, I'll hand that over to Jonathan.
Jonathan Howell: Yes. I mean in terms of exceptionals, I think by definition the nonrecurring exceptionals, we don't foresee, we don't expect. And so what you're seeing in terms of the nonrecurring exceptionals during the course of this year, we do not expect any of those to be recurring next year. And then I think just in terms of the buyback, I think the first thing to say is, yes, it's been a very strong year again for free cash flow and this is an element of our model that we want to preserve and we work hard on. Free cash flow this year of just over GBP400 million, that was a 37% increase in the year. And just to sort of frame the buyback, that really underscores the confidence that we have in the future prospects of Sage and the way that this business is developing, alongside to your point in the question, the strong cash generation and a robust balance sheet and financial position that we have. And in terms of capital allocation policy that we've consistently taken people through over the last few years, is our priorities are organic and inorganic investment through the P&L. And that's really important to us. Secondly, to support and maintain a progressive dividend. And then lastly, if we have surplus, then we will return that surplus as and when we think that is appropriate. And so as we move forward, first of all, we are very confident that we have the considerable financial flexibility we need to continue to invest in the business. And we'll keep the overall capital allocation policy and its application under review.
Charles Brennan: And then can I just circle back just so we're all clear? If you do, do M&A, I'm assuming M&A would be of a lower-margin business. Are you confident of doing 50 to 100 basis points of margin improvement, even allowing for potential dilution? I don't want to get trapped up with underlying versus organic definitions of margin expansion.
Steve Hare: No. I think, look, we're clear, Charlie. I think that absent large-scale M&A, which -- I would just emphasize, we're not planning, but absent large-scale M&A, we're very committed as part of doing the bolt-ons that to the degree to which they -- that means we have to absorb margin dilution, we will do so, and we will do so within the guidance we've given you. So you don't need to worry about that.
Charles Brennan: Perfect. Very good. Thank you.
Operator: Thank you. We will now take the next question from the line of Frederic Boulan from Bank of America. Please go ahead.
Frederic Boulan: Hi. Good morning, Steve and Jonathan. Two questions, please. Firstly, you went through a pretty dense pipeline of product rollout across your footprint. Any specific areas you're most excited about in terms of expansion of the core business, additional product offering or enhanced commercial push on some regions? And if you can give us an update in terms of competitive dynamics. France growth remains a bit underwhelming. Do you expect things to pick up with QuickBook exiting? Any specific competitive dynamics you want to flag or share with us would be great.
Steve Hare: Yes. I think, first of all, the US remains the biggest and the fastest-growing market. So it's important that we continue to increase market share there. So continuing our strong growth as we have done in this period in North America is important. You won't see us anytime soon expanding into new markets. But what I am excited about is the fact that we are now delivering our global product sets into the European market. So we're delivering Sage Intacct, but we've also launched Sage Active across France, Germany and Spain. And the European markets are less developed from a cloud adoption perspective. And linking to your second question, the competition in Europe is much more fragmented. There is much more competition coming on a national basis, often owned by private equity rather than having the sort of consistency of the global players. We've got strong businesses in France, Germany and in Iberia. And I'm very excited about the longer-term prospects of how we can lead both cloud adoption but also use the benefits of the Sage Network to be able to offer increasingly enhanced cloud services, including AI-powered services, not just to our new customers but also to our existing cloud connected customers as well. And I think just to add on the competitive, I should say, more fragmented in Europe, but the dynamics are not really shifting that significantly. Both in Europe, North America and in the UK, I would say the competitive dynamics are largely similar to how they have been over the last 12, 18 months.
Frederic Boulan: Thank you.
Operator: Thank you. We will now take the next question from the line of Rahul Chopra from HSBC. Please go ahead.
Rahul Chopra: Hello, good morning. I have three questions. First, in terms of your ARR drivers for '24, could you just give us some sense -- appreciate you don't give the guidance, but do you still expect the retention rate to hold to 104%? And any color on what you're thinking in terms of net new ARR additions for next year? That's the first question. The second is around, basically, if you could give more color for '23 in terms of where the net new ARR of GBP190 million is coming from basically, maybe a split of -- whether it's from Sage Intacct versus other cloud native products. And my final question is, appreciate that you have given focus is on revenue growth instead of recurring revenue, which makes complete sense. But also, you have made a decision not to report on portfolio revenue going forward. So could you also explain basically what's basically underlying thinking around not to report on portfolio-based asset, please? Thank you.
Jonathan Howell: Yes. In terms of ARR progression during FY'24, it will be consistent with what we've seen during FY'23, both in terms -- we believe at this stage of the year, but we'll keep you updated. But at this stage, we believe that there will be an even and balanced ARR build during the course of the year. That's pretty consistent with what we've seen in FY'23 and different from what we saw in FY'22 when it ramped rapidly towards the end of the second half. And then in terms of the mix, again, sort of continuing renewal rate by value driven by the same three components that I referenced earlier on the call and then good NCA. And that good NCA is always being led by cloud-native products, but also we must not underestimate the growth and the support that comes from Sage 50 and Sage 200 franchises around the world. And then in terms of the sort of GBP190 million of NCA, a significant proportion of that comes from Intacct. And as you know, Intacct is growing at 30% or so in North America. It is now beginning to scale rapidly in the UK, which is our second most important market, but also, the other suite of cloud-native products are growing faster than that 30% Intacct growth rate in North America. It's off a smaller base. It's yet to scale. But I think the important message is that the NCA growth is being led by Intacct, but there are very, very strong product growth rates that we're seeing elsewhere. And then just lastly, in terms of the reporting, we are putting out an announcement in December, and James and the team we'll take everybody through that change in reporting. The main purpose of it is for the simplification of the way that we present this business as we scale and grow and simplify. And the two components, as we've referenced and you referenced in your question, was, first of all, we are going to -- the principal focus on lead will be on total revenue for the reasons I outlined earlier on the call. And then secondly, we will be leading on the geographical split and not the portfolio split. But rest assured, other critical measures relating to ARR and Sage Business Cloud penetration, those will be provided as well in narrative. I hope that helps. Does that help, Rahul?
Rahul Chopra: Good. Appreciate that. Thank you.
Operator: Thank you. We will now take the next question from the line of Ben Castillo-Bernaus from BNP Paribas. Please go ahead.
Ben Castillo-Bernaus: Hi, there. Yeah, good morning. Thank you very much for taking my questions. A question on Intacct in the US. That's still growing 30%, which is impressive, particularly as we're now at a sizable base of GBP300 million plus. I guess if you look at the size of some of your peers, like NetSuite who's measurably larger, what are your ambitions for Intacct in the US midterm? How much white space is there you'd push into versus getting to a sort of saturation point in the market, where you might become more reliant on perhaps competitive wins? And then just a follow-up, you touched on this in a previous question, but around the market dynamics being slightly different in Europe, slightly more fragmented, local vendors. Does that change the approach at all for your Intacct rollout in Continental Europe relative to what you've done in the US? Thank you.
Steve Hare: Yes. So we take the US first. I mean, I think for the midterm, there continues to be considerable opportunity in terms of the addressable market, not just for Sage but also for its competitors, continue to grow the sort of rates we're growing. I mean there's still -- we're expanding across into new verticals. We're strengthening our offering in distribution and manufacturing, for example. We've pointed in the release and in the presentation, so the fact that we've shown continued strength in not-for-profit, but we're also seeing now continued renewed strength in construction. So I think the US, without giving specific guidance of how quickly we'll grow, we aspire to continue to win market share, and we think there's plenty of opportunity. I think in Europe, yes, it's more fragmented. The requirements are very similar. The midsized businesses in Europe now are increasingly attracted to the sort of capabilities of a strong financial product like Intacct. I think the key to Europe is also around go-to-market. So it's not just about the product. It's also the strength of the channel. So if you take France as an example, we have a very strong channel. We have very scaled partners that we've worked with for a long time. But it does mean that sometimes the adoption or the rate of adoption can be a little bit slower because you're training up the partner network, you're winning the hearts and minds of the partners. But as I've referred to in the presentation, I've spoken to the -- all of the top French partners, and there is a real excitement around the possibilities. But I'd be a bit cautious about how quickly that builds up because these things tend to take time.
Ben Castillo-Bernaus: Understood. That's helpful. If I can squeeze in a follow-up just on that very topic. If France is sort of where you want to get to with the rest of the Continental Europe rollout, what are the moving parts to get there? How long can that take before you could look at Germany or others and say, okay, we're now in a similar position to France and feel comfortable about that channel partner ecosystem?
Steve Hare: Yes. So I would say in Germany, look, we're launching in the next couple of months. We do have partners in place, but it may take a little bit longer because we don't quite have the same depth as we do in France. But also at the same time, we are launching Sage Active. So Sage Active sits a little bit below Intacct, sort of the lower end of the mid-range of the mid-market. And we are live in France, Germany and Iberia with Sage Active. So it's a sort of a dual-pronged approach that as the product matures and as the channel matures, we're also, through both our direct sales force but also through partners and we're also launching and selling Sage Active. So again, I think probably the way to think about it is Germany is probably 6 to 12 months behind France in terms of the pace. But if you look at the midterm, the opportunities in both those markets is considerable.
Ben Castillo-Bernaus: Appreciate the color. Thank you.
Operator: Thank you. We have time for one more question, comes from the line of Balajee Tirupati from Citi. Please go ahead.
Balajee Tirupati: Hi. Thank you. Congratulations on good set of numbers. Two questions from my side, if I may. Firstly, on competitive dynamics, and you did mention stable evolution in the period. Can you also share color that some of your peers sharing view of upmarket expansion? Are you seeing any change in traction in mid-market segment? And secondly, with one of your key competitors in the smaller business segment moving focus to improving their ARPU, do you see scope of accelerating subscriber growth with Sage Accounting in the UK? And the second question on margins maybe, if I may. Could you share if the expansion in fiscal '23 has been ahead of expectations at the beginning of the period? Are you going to '24 with a potentially lower wage inflation scenario? Are you looking to opportunistically hire more talent for future period or for you to drive only 50 to 100 basis points of margin expansion in the year? Thank you.
Steve Hare: Okay. So I'll start with the competitive dynamics. I think what's happening in terms of the addressable market is we still see strength in terms of people -- small, midsized businesses wanting to invest in accounting, payroll and HR functionality. But the thing that's really starting to expand the market is the automation of the workflows that happen within and also between those products. So for example, your workflow in terms of your invoicing with your suppliers or your workflow in terms of your invoicing with your customers. And through the Sage Network, we are now offering automation as part of the solutions that we're delivering to our customers. And that's giving an increased attraction in terms of how we can bring customers into that network. And also, by the way, it's an open architecture. So we -- it's a cloud architecture where we can also connect our competitors' customers. I mean you don't have to buy 100% of what you're looking for from Sage. You can also mix and match, and you can use our automation with other people's ledgers, which brings us to the small part of the business, so the focus on ARPU. I think we're focused on two things. We want to expand the participation within our network, so we want to acquire more customers into the network. But obviously, over time, we also want the ARPU that comes from those customers to continue to increase and grow. And how we do that may evolve. So historically, that was all about paying for your accounting product. We will continue to be focused on a subscription model, but that subscription, for example, will increasingly be for a suite or for a solution. We have launched a small business suite in the UK and we are now really focused on saying to our customers, you can buy from us a suite that includes accounting, HR, payroll but also includes automation of your workflows as we seek to put you in a position where all of your back-office workflow is automated and you can just focus on running your business. So that's what we're trying to do. You want to talk about -- a bit about margin, Jonathan?
Jonathan Howell: Yes. So thanks, Steve. So in terms of margin, two or three important things. First of all, we guide for the full year on margin. And that's what we've done in previous years, and that's what we're doing again in terms of FY'24. So it's not a half-by-half progression necessarily. And secondly, as we've said before, we maximize the amount of investment that we make in the business to drive growth whilst, at the same time, achieving the consistent and gradual margin expansion that we've seen over the last two years. And so therefore, in terms of setting our spending plans at the beginning of the year but also as we progress during the year, we will dynamically reallocate to make sure we hit that maximum equilibrium point between achieving good growth and also achieving margin expansion. And as you can see for this year, it's achieving the efficiencies where we need to. And so therefore, sales and marketing investments and spend is 40% of recurring revenue. The prior year, it was 42%. And if we look forward, that is where we will be driving continued efficiencies as we improve the sales motion, particularly through digitization. So that, I think, gives you a good picture of how we see margin progression. I think the last thing too is, just mentioned, consider us on a constant currency basis. If you take -- which is the number that we've reported of 140 basis points improvement. If you take this year, for instance, the first half we had a 60-basis-point tailwind as a result of the strengthening dollar in the first half. And that effectively all but reversed in the second half, and we ended up with only about 10 basis points benefit from currency. That painted two different pictures on an absolute basis for this year going forward, and the guidance is always done on a constant currency basis. Thank you. I hope that helps.
Balajee Tirupati: Yeah. It is helpful. Thank you.
Operator: Thank you. I would now like to turn the conference back to Mr. Hare for closing remarks.
Steve Hare: Yes. Just to say thanks very much, as always, for tuning in. And obviously, we look forward to updating you -- or Jonathan looks forward to updating you at the end of Q1, and I look forward to coming back at the half year. But thanks very much for spending the time with us this morning.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.